Operator: Good morning. My name is Felicia and I’ll be your conference operator for today. At this time I would like to welcome everyone to the Q3 Cinemark Holdings call. (Operator instructions.) Thank you. I would now like to turn the call over to Ms. Chandra Brashears. Ma’am, you may begin.
Chandra Brashears: Thank you, Felicia. Good morning, everyone. At this time I would like to welcome you to Cinemark Holdings, Inc.’s Q3 2012 Earnings Release Conference Call hosted by our Chief Executive Officer Tim Warner and our Chief Financial Officer Robert Copple. In accordance with the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that are discussed by members of management during this call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause Cinemark’s actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are set forth in the company’s SEC filings. I would now like to turn the call over to Tim Warner.
Tim Warner: Thank you, Chandra. Good morning, everyone. We appreciate you joining us on the call today. I will first provide a brief summary of Cinemark’s Q3 results followed by a discussion of the overall domestic industry box office performance for Q3. I will also highlight the remaining 2012 film slate and a preview of the 2013 film slate. Lastly, I’ll provide an update on a few of our strategic initiatives. Following my commentary, Robert will further discuss our financial results and capital structure. We will then open up the lines for a question-and-answer period. Our global focus on operational excellence and efficiencies combined with our unique and geographically diverse US and Latin American footprint of 5207 screens in 39 US states and 13 Latin American countries helped us achieve an all-time Cinemark record for worldwide attendance, entertaining 69.7 million patrons during the quarter. Our Q3 worldwide total revenues were $633.6 million and our industry-leading adjusted EBITDA and adjusted EBITDA margins were $148.4 million and 23.4% respectively. Cinemark’s global admission revenues over-indexed the North American industry by 370 basis points in Q3. Our worldwide strategy has now outperformed the North American box office for 12 of the last 13 consecutive quarters. The Q3 North American box office faced challenging comps as the industry achieved an all-time quarterly high in Q3 2011, up 5.5% compared to the 2010 period. Cinemark’s US assets outperformed that record-setting industry benchmark last year by 390 basis points. Despite this elevated hurdle, our domestic theaters performed relatively in line with this quarter’s 7.2% North American box office decline, down 7.6%. Our domestic results were hindered to some extent by the higher mix of restricted R-rated product and the less availability of 3D product. Leading the Q3 was the exceptional performance of The Dark Knight Rises, with domestic grosses in excess of $445 million, ranking it the seventh highest grossing film of all time. We also saw the reboot of the Spiderman franchise which performed very well in 3D and grossed over $260 million. Ted also continued its successful run into Q3. Ice Age 4 and Brave, both featuring 3D, and The Borne Legacy rounded out the quarter’s top films. Our Latin American operations generated another strong performance in Q3 with admission revenues of $137.1 million, an increase of 5.5% versus the same period last year, up 18.4% in constant currency. Our international operations again outperformed the North American industry box office. 2012 remains on track to be a record-setting year for our industry, up approximately 5% year-to-date through this past weekend. Q4 has experienced strong momentum with an increase of more than 20% quarter-to-date, led by titles such as Taken II, Argo, Paranormal Activity 4, Wreck-It Ralph, and the carryover of Hotel Transylvania, Pitch Perfect, and Looper. Skyfall, the newest James Bond film will open this Wednesday at midnight, 24 hours before its wide release on our domestic XD screens along with other premium large formats. Skyfall has already demonstrated a strong box office performance overseas and we are optimistic for continued strength in its domestic opening based on industry projections. We are anxiously awaiting the release of the final sequel of the Twilight series, Breaking Dawn Part II, which has already generated significant advanced ticket sales, exceeding the advanced ticket sales in the same timeframe as the previous records held for Harry Potter and the Deathly Hallows Part II and Breaking Dawn Part I and Hunger Games. Lincoln is also receiving great word of mouth and we are looking forward to its wide release next week. The Thanksgiving slate includes The Life of Pi for which Cinemark and 20th Century Fox are jointly promoting our XD auditoriums through a wide range of social, mobile, online and television advertising. The Thanksgiving holiday also includes The Rise of the Guardians, which is expected to have strong family appeal. In mid-December we have the much anticipated release of The Hobbit: An Unexpected Journey, which is the first of the chronology. The Hobbit will have limited release of the 48 frames per second format, the next evolution of 3D. Like many exhibitors, Cinemark is fully equipped to play the high frame rate format in all of our digital theaters in both the US and Latin America, including our XD auditoriums. The Christmas Slate includes Judd Apatow’s comedy This is 40, the star-studded Les Miserables, the 3D release of Monsters, Inc., and the Tom Cruise-driven film Jack Reacher, the first installment of author Lee Child’s popular crime series which could be an exciting new franchise based on industry buzz. Lastly, we close out the year with Quentin Tarantino’s Django Unchained, the family comedy Parental Guidance, and the Seth Rogan and Barbara Streisand comedy The Guilt Trip. Although the film slate for 2013 has not been finalized we are enthusiastic given the content, timeline and 3D availability. There have already been 35 3D-enabled titles scheduled for wide release next year, similar to 2012. We open up the year with A Good Day to Die Hard, the most recent Die Hard sequel; Oz the Great and Powerful, a 3D Wizard of Oz prequel; and G.I. Joe: Retaliation. The summer season kicks off with Hangover 3, Fast and Furious 6, and four strong 3D titles including Ironman 3, The Great Gatsby, Star Trek: Into Darkness; and The Man of Steel, a Superman film produced in collaboration with Christopher Noland. The summer season continues with Monsters University, Despicable Me 2, Pacific Rim and Smurfs 2, all featuring 3D, as well as The World War Z and The Lone Ranger. In November we have the release of Thor: The Dark World in 3D, and for the Thanksgiving holiday the highly anticipated second film of the Hunger Games series, Catching Fire. In December we have the release of the second film of The Hobbit Chronology: The Desolation of Smaug in 3D and high frame rate, and also Jack Ryan which is based on the popular Tom Clancy character. Cinemark continues to be the market leader in premium large format, or PLF, screens with our Xtreme Digital or XD concept. Studios prefer to open new releases on premium large formats as they recognize the PLF’s significant contribution to successful openings. As of September 30 we had a total of 96 XD auditoriums worldwide, 63 domestically and 33 internationally. Though our XD format comprises only 1.6% of our screens domestically, they generated 4.6% of our admissions revenues during Q3. We continue to expand our global XD footprint and expect to break the 100-XD-auditorium threshold soon with an additional 15 to 20 XD auditoriums opening by year end. We are capitalizing on our market-leading position in Brazil to create an onscreen advertising model called Flix Media, which is similar to the US screen advertising concept. Though Flix is still in its early stages we’ve already achieved strong results since its launch last year and anticipate a long-term growth opportunity to further enhance advertising revenues. While we initiated this model in Brazil, we anticipate expanding this onscreen advertising concept into our other Latin American countries as well. We are pleased to report that the Digital Cinema Distribution Coalition, DCDC, operating agreement has been finalized and should be fully operational as early as next year. As a reminder, DCDC is a joint venture between exhibitors and distributors to seamlessly distribute all digital content to theaters via satellite, which should significantly enrich alternative product availability such as live sports, concerts and opera. Regarding our international digital conversion, we are continuing to progress on the virtual print fee, VPF, agreements with the studios. We currently have three of the six major studio agreements executed and are nearing the finalization on the remaining three. We will complete the digitalization of our Latin American assets once the agreements are in place. We are currently 40% digital and 39% 3D-capable in Latin America and expect to be 100% digital in our first-run theaters and approximately 50% 3D-capable upon completion, similar to our US circuit. We are proud to announce the successful launch of CineMode, our exclusive interactive technology that allows patrons the opportunity to earn rewards while being courteous during the show. Our innovative technology was designed to address texting and other cell phone distractions which is the number one complaint of moviegoers. While in CineMode the smartphone screen is automatically dimmed and patrons are prompted to silence their volume. If CineMode is enabled for the duration of the movie, patrons are rewarded with exclusive digital rewards and offers that can be used at their next visit to Cinemark. CineMode facilitates contacts with our patrons, and this initiative provides an opportunity for us to further improve our relationships with the studios, our vendors via [chief] funding and promotions, such as discounted digital downloads. To date, approximately 1.5 million patrons have already downloaded CineMode. We continue to look for additional ways to further enhance our patrons’ movie going experience. In conjunction with Dolby we were performing selective testing of the revolutionary Atmos surround sound experience, which has the capability to handle up to 64 speaker feeds creating a [mystique] sound mix for a lifelike and immersive sensory cinema experience. We are enthusiastic about this exciting innovation and look forward to potentially expanding our test base. We are pleased to report that the two highly-anticipated releases – Life of Pi and The Hobbit – will feature Dolby Atmos soundtracks and we will be presenting these films in their enriched format in our test auditoriums. As our operating results consistently demonstrates, Cinemark has designed a company with a strong and stable domestic theater base which supports a substantial quarterly dividend, accompanied by our international circuit which represents a long running growth engine and differentiates us from all our industry peers worldwide. Robert will now discuss the company’s financial performance for the quarter.
Robert Copple: Good morning, and thank you again for joining us. Total revenues for the quarter were $633.6 million and admissions revenues were $402.4 million. Our Q3 worldwide concession revenues were $200.1 million, an increase of 2.7% versus the same period last year, and other revenues grew 10.7% to $31.1 million. As Tim stated, we achieved a company milestone with record attendance of 69.7 million patrons for the quarter. Our worldwide adjusted EBITDA was $148.4 million resulting in a 23.4% margin. Our US segment generated total revenues of $413.0 million and admissions revenues of $65.3 million. Attendance was 41.2 million patrons. Our average ticket price of $6.44 was relatively flat to the prior year period, primarily due to the reduction of premium product in Q3 2012 versus Q3 2011. Premium ticket sales accounted for 19.8% of our domestic box office this quarter versus 25% in Q3 2011. US concessions per patron were up 5.1% in Q3 2012 compared to the same period last year, and our concession revenues were $135.6 million. Our domestic adjusted EBITDA was $94.5 million resulting in an adjusted EBITDA margin of 22.9%. Our international segment had another robust quarter. International attendance increased 14% to 28.5 million patrons from 25.0 million patrons in Q3 2011. Admissions revenues for Q3 2012 were $137.1 million, up 5.5%. Average ticket price was $4.81 for Q3 2012, down 7.5% due to the currency translation. Average ticket price increased approximately 3.8% in constant currency. International concession revenues were $64.5 million, an increase of 15.6%. Concessions per patron was $2.26, an increase of 1.3%, 12.1% on a constant currency basis. Our international other revenues increased 19.5% from Q3 2011, primarily due to increased screen advertising in Brazil, Mexico and Argentina. Total revenues for Latin America were $220.6 million, an increase of 9.4% versus the same period last year. Our international adjusted EBITDA increased 22.4% to $53.8 million, despite a blended FX headwind of approximately 14%. Our adjusted EBITDA margin improved 260 basis points to 24.4%. In Q4 we should start seeing a reduction in the FX headwinds we have faced this year, with most of the impact being eliminated by Q1 next year assuming current rates stay relatively stable. For the quarter, our consolidated worldwide film rental and advertising expense decreased 80 basis points to 53.2% of admissions revenues. We had a slight increase of 20 basis points in our domestic segment compared to the same period last year. International film rental decreased 260 basis points versus Q3 2011. Total income before taxes was $77.4 million. Net income attributable to Cinemark, Inc. was $47.4 million, which results in $0.41 per diluted share. Our balance sheet continues to be one of the strongest and least levered in the industry with a net debt position of $1.02 billion and a net leverage ratio of 1.8x adjusted EBITDA as of September 30. Our US circuit at quarter end was comprised of 3918 auditoriums in 299 theaters in 39 states. During the three-month period we closed one theater with seven screens. We currently have signed commitments to open two new theaters with 28 screens during the remainder of 2012, and 16 new theaters with 202 screens subsequent to 2012. We expect to incur approximately $135 million for the development of these additional 230 screens. Our international circuit consisted of 1289 auditoriums in 162 theaters in 13 Latin American countries. During the quarter we opened one theater with seven screens. We presently have signed commitments to open six new theaters with 44 screens during the remainder of 2012, and twelve new theaters with 82 screens subsequent to 2012. Our estimated capital expenditures to develop these additional 126 screens are approximately $90 million. We remain committed to building and maintaining the highest quality global theater circuit. Throughout the quarter we reinvested $52.9 million on total capital expenditures consisting of $29.1 million on new theater construction and $23.8 million on maintenance CAPEX, including four new XD premium large format screens and our continued international digital projector rollout. We remain comfortable with the guidance previously provided of $225 million to $250 million in total CAPEX for 2012, which includes both new build and maintenance expenditures. Our long-term focus remains on organically expanding the company’s worldwide footprint while selectively evaluating attractive acquisition opportunities to meet our high standards for asset quality and financial hurdles, which we believe will generate additional long-term value for the company and our shareholders.
Tim Warner: Before we turn to our question-and-answer session, I’d like to say a few words about the unforeseeable tragedy in Aurora. Our thoughts and prayers remain with all those affected. We continue to work closely with the community. Based on the results of a survey conducted by the city, the Mayor requested our consideration in reopening the theater. As announced we have agreed and hope to reopen the theater by the beginning of the new year. We pledge to reconfigure the space and make the theater better than ever. There have been several lawsuits filed recently and our Legal Team is in the process of responding. We are not able to comment on pending litigation matters. Thank you for your thoughtfulness in this matter. This concludes our prepared remarks – we’ll now open up the lines for questions.  
Operator: (Operator instructions.) Your first question comes from the line of Townsend Buckles with JP Morgan.
Townsend Buckles – JP Morgan : Thanks. Can you talk about how you were affected by Sandy last week? Did your share of box office move higher given your limited presence on the East Coast?
Tim Warner: It had a very small effect although we remain very concerned about the victims of Sandy and the impact on the overall region. In fact, the company had led a contribution drive to raise some funds to help the victims. But for our theaters themselves, we were closed down one or two days with the theaters in the area, and we only had one auditorium in one theater that was affected on any kind of permanent basis. And so it’s had very little impact.
Townsend Buckles – JP Morgan : Okay. And then looking at your Lat Am performance in Q3, it looks like Brazil was down pretty sharply while the rest of the region continues to grow at a very strong pace. Aside from the Hoyts acquisition can you talk about what’s behind that divergent performance, whether it’s differing screen growth, competition or maybe other factors?
Robert Copple: Probably one of the bigger issues was local film product and just the change in this quarter of how much that product impacted us. When we’ve looked at performance, actually we saw a very strong performance in Brazil towards the end of the quarter. It had been lagging a little bit and a lot of that had to do with the film product, and then toward the very end it really came back on. And so really no concerns about what’s happening down there and its overall performance; we just feel like the majority of the changes… I mean clearly if you look at our filings and such you’ll see Brazil being down, and FX had a pretty significant impact; but just on a constant dollar basis probably the biggest thing we saw had to do with the film product.
Townsend Buckles – JP Morgan : Okay, and then just lastly your cash balance continues to grow, Robert. Can you give us an update on your focus on US acquisitions? Do you see deals being closed by year end and can you give a sense of what’s out there in terms of size?
Robert Copple: Well again, we don’t ever comment on specific deals but there definitely is activity in the market, as we’ve all seen the Carmike acquisition. And there are more opportunities that we feel are out there and they definitely vary in size from some rather small deals that might represent a few theaters to some larger potential circuits. So as we mentioned in our comments, we’re looking for opportunities that enhance our overall shareholder value and the theaters we would acquire would be similar in quality to what we have today. And we do think there’s some potential out there and it will just depend on what the price negotiations are based on those particular circuits.
Townsend Buckles – JP Morgan : And would you think things materialize by year end or maybe still get pushed further out?
Robert Copple: It’s definitely a question. I mean while there is activity it’s very difficult to really understand what the timing will be of any of those deals closing.
Townsend Buckles – JP Morgan : Got it, thanks a lot.
Operator: Your next question comes from the line of Robert Fishman with Nomura.
Robert Fishman – Nomura Securities: Yeah, I’ve got one for Tim and maybe a couple for Robert. Tim, how do you think about where we are in the 3D lifecycle for future film releases; and how will your ability to offer The Hobbit at 48 frames per second differentiate 3D in your theaters relative to those circuits that are not able to offer this enhanced technology?
Tim Warner: Well we feel good about the overall lifecycle of 3D, mainly because of the very talented directors that are working in it, like James Cameron who probably set the industry standard for 3D with Avatar has come out with some public comments on The Life of Pi and Ang Lee’s use of 3D. And then of course Jackson with the 48 frames, or the high frame rates has taken it to a whole other level and it’s going to be an advanced revolution in 3D. And you know, when you look at the number of films being made in 3D, you had I think 32, 33 this year; you’re going to have 35 that have already been announced for next year. And so we’re seeing sort of a consistent number but probably more importantly is the level of creative talent that is now working in 3D, so you’re going to see real advancements in the use of the technology as they adapt to it. But I think when people see Life of Pi, because it screened publicly at the New York Film Festival and it’s had some published screenings, and it’s just getting raves. So I think that the lifecycle of 3D, not that it’s just starting but it’s sustainable and permanent. And next year, like we’ve announced publicly there’s 35 3D titles already announced.
Robert Fishman – Nomura Securities: Okay, great. And for Robert, can you help us think about Q4’s film rental and advertising costs for the US and in Lat Am relative to the historical Q4 average, given this upcoming strong expected release slate? And then maybe a follow-up to that would be how do you expect the US releases, the stronger slate there, to perform in Latin America in Q4? And maybe as you mentioned to the previous answer, are there any local releases that we should be aware of that could have an impact on the results?
Robert Copple: I think with respect to the film rental, clearly the safest thing I think is you can kind of look back and see what we’ve run the last few years. And while it’s varied somewhat in Q4, you tend to, in let’s say a heavier weighted quarter we would run anywhere between – a heavy weight with tent poles – I think if we look back Q4 the last few years we’re running somewhere between 55% and 56%. And offhand, obviously as you’re saying you would guess it would be on the higher side rather than the lower side, and so clearly you’d have a lot of great box office revenue to go with that. So I mean I think if you looked at the last three or four years I would assume you’re moving towards the upper end of that. With respect to specific product, I think internationally in Q4 I don’t know if there’s anything really unusual that will throw the slate off there with respect to local product for international. And I think as far as the releases in international, I don’t think that there’s any major differential that again would throw off international versus domestic.
Tim Warner: Yeah, because you know when you look at one of the big releases, which is The Hobbit, that’s based of course on The Lord of the Rings trilogy. And what tends to happen in Latin America, even with for example this year you had the Hunger Games and it performed okay in Latin America versus the US; but I think that when the next Hunger Games comes out it’ll perform better. And so the base audience for The Hobbit is well established in Latin America.
Robert Fishman – Nomura Securities: Great, thanks guys.
Operator: Your next question comes from the line of Eric Handler with MKM Partners.
Eric Handler – MKM Partners: Yes, thanks for taking my questions; a few things for you guys. First, when you look at your per capital concession spending, this is the fifth quarter in a row now in the US that you’re above 5%. Is there something be it in the product mix or just general price increases that’s allowing you to sustain above-average price increases there on the concessions? Then secondly, can you talk about where you expect to end the year in terms of your net screen growth or what your year-end total expectations for your open screens are, both US and international? And then what percent of your revenue was premium ticket sales in the quarter?
Tom Warner: Okay, I’ll take your first question on the concessions and Robert can answer your last two. But on concessions, our Concession Group has been very focused on delivering value to customers, and then also through our social media and our direct contacts with our patrons we’ve been trying to upsell them through putting together value coupons and that to trigger more sales at the box office while at the same time delivering our customer a better value. There’s been some marginal price increases but then it has been marginal, and I think it’s sort of a combination of these value coupons and then the direct contact with the customer. And it’s how we’re now able to relate to the customer. Now our ability to do this is going to be expanded with our new technology called CineMode which will put us directly on our customers’ smartphones.
Robert Copple: Eric, with respect to screen count, as we commented in the call we would expect to open about 28 more screens domestically this year; however we also think we’ll close about the same number of screens, maybe a few more so actually screen count domestically will be pretty close to where we are right now. Internationally I think we’re slated to open about net 40 new screens by year end, so that’d be about the upside on that. We are definitely opening fewer screens internationally than we had expectations of at the beginning of the year, but that’s primarily just a timing issue where we’ve seen screen count move into next year. Many of the screens that we’d originally estimated would open this year, we had talked upwards of 100 screens, were very heavily weighted towards year-end and Q4; and as some of the new building projects in Latin America have just taken longer to develop as well as changed themselves within the malls we’re building, that’s just been pushed out a little bit. So it’s not reflective of any issues, just more of a timing change on when those will open.
Eric Handler – MKM Partners: Great, and then premium revenue for the quarter?
Robert Copple: As a percentage of total revenues I think it was about, just a little less than 20.0%, about 19.8% and that compared to about 25.0% last year.
Eric Handler – MKM Partners: Thank you very much.
Operator: Your next question comes from the line of Eric Wold with B. Riley.
Eric Wold – B. Riley: Hey, good morning, two questions. I guess one on the acquisition opportunities, can you just talk to it in a general sense: if you compare and contrast your domestic and international opportunities in terms of what you’re seeing in both the quality of the assets you could acquire, both how they are now… I guess obviously any necessary improvements, whether digital or just normal renovations? And then two, what the valuation differences may look like from the sellers?
Robert Copple: Right now we’re seeing most opportunities domestically. From a company point of view we would be as if not more interested in international opportunities but you’re not seeing things just present themselves as much as I think what’s happening in the US right now. I think from a multiple point of view, I’d go back to what we look at is when we build something organically we’re after that 20% return. That kind of serves as a framework when we’re looking at any new opportunity. And so we’re trying to fit it in similar to what a new build would be. Clearly it can vary a little bit from that because you know what you’re buying, you know the history of it but that’s our ballpark that we’re shooting for. And clearly we would look at assets that we think create accretive opportunities for the company, but there’ definitely more activity going on right now in the US.
Eric Wold – B. Riley: Okay, just a quick follow-up on that. If there was something opportunistic down in Latin America just remind us – I know there’s tax implications for bringing cash from Latin America back into the US but is there anything going the opposite way? Or would you most likely borrow down in that market to buy something down in that market?
Robert Copple: As long as we were able to fund it there shouldn’t be any problem, whether we move cash around within the countries… Many of our countries have excess cash anyway and might be able to fund it, or ultimately if we had to move it from here none of those would create tax issues for us. And to your point, depending on the size of the deal we might even consider borrowing locally as kind of a natural hedge on the deal. So all those are available but none of them really have leakage associated with it.
Eric Wold – B. Riley: Okay, and then just the final question going back to the 3D slate for next year, it’s looking robust already, a lot of movies shifted from this year. What are your thoughts on how you are in terms of 3D screen penetration now and any risks as this continues to grow of getting back to where we were a few days ago with 3D movies crowding it all out – or is that kind of a thing of the past and studios have gotten smarter about scheduling?
Tim Warner: Well, I think the studios got smarter about their scheduling and like, to my earlier remarks, you’re starting to see the top creative talent in Hollywood working in this format. And so the other thing that we’re doing, we’re at 50% now of our screens in the US are 3D but we’re also evaluating if we need to expand that format a little bit to get more step downs to allow 3D to play out more and more in the marketplace because you know, a lot of the 3D… In fact, you’ve even got Christopher Noland who did the Batman series is now collaborating and working on doing Superman: Man of Steel in 3D. So a lot of the big budget pictures that tend to play out longer, we might have to add additional step downs.
Eric Wold – B. Riley: Perfect, thank you both.
Roger Copple: Thanks, Eric.
Operator: Your next question comes from the line of Anthony DiClemente of Barclays.
Beau Tang – Barclays Capital: Hi, thanks and this is actually Beau Tang for Anthony. Robert, to follow up on your previous comment on the timing of new builds being pushed out, can you help us think through your screen growth and CAPEX outlook for next year?
Robert Copple: Yeah, it’s still a little bit early, Beau, to provide numbers, but I think broadly speaking that in international we feel more confident next year that we will get in the 100-screen growth opportunity. And then domestically, you know, it’s probably not a lot different from this year, maybe a little more but again we’re still firming all that up. And so if anything I’d say we have more potential for upside on screen growth than any reductions. Next quarter we’ll be able to give you much more solid numbers but definitely to the point we moved projects from this year to next year and it’s still very robust in Latin America, and we do feel like we’ll feel much more confident that we can hit that 100-screen plus growth internationally.
Beau Tang – Barclays Capital: Got it, thanks. And also just on margins, I was hoping to get your thoughts on where margins can go long term? I mean is there still much fat to be trimmed on the margin side?
Robert Copple: In the end, our margins as you’ve seen vary primarily with box office and attendance because the way our industry is leveraged from an operating point of view, if I can put more people through the theater I’ll be able to create a better margin out of it. I think you’ve seen, especially in the US a very strong focus on operating costs in the last two to three years, and while we’ve continued to do that we’ve definitely pushed our margins at the levels they’re at to being pretty much the highest in the industry. And while we’ll still look for improvements we’ve definitely realized a lot. I think what you’re seeing internationally is we’ve moved a lot of our focus of what we’ve learned here down to our international group and we’re starting to see some benefits there, as over the last few quarters we’ve improved our margin. So we’ll continue to maintain our focus in the US and hopefully find some improvement there, but I think internationally is probably where our biggest opportunity lies right now.
Beau Tang – Barclays Capital: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Barton Crockett with Lazard Capital Markets.
Thomas Lee – Lazard Capital Markets: Hi, this is actually Thomas Lee in for Barton. I have two questions. First, can you give us more color on where you are with your digital projection rollout and potentially what it means for CAPEX over the next year? And then secondly, as you expand internationally can you talk about other potential territories that might be of interest, maybe China considering their box office growth? Thanks so much.
Tim Warner: Yes, well you know, in the US we’re 100% digital and in Latin America we’re approximately 40% at this time. And the intent is, as soon as we get all these VPF agreements executed – we have three of them executed now – to take Latin America up to 100% digital. Regarding China, we looked at China. I personally went there a number of times for several years and we felt it was a great opportunity and a market that we wanted to explore; in fact, we did a joint venture in Taiwan to sort of prepare us to operate in mainland China. But they have a government rule where you have to own less than 51% and so you have to be a minority partner, and although we were hopeful and optimistic that that rule might change it still exists today. And I think our interest in exploring opportunity in China would be related to that rule changing.
Thomas Lee – Lazard Capital Markets: Great, thanks.
Operator: Your next question comes from the line of Tony Wible with Janney.
Tony Wible – Janney Capital Markets: Yeah, two questions. First is how would you size the Latin American advertising market that you guys are building out there? I wonder if you’ve done any kind of preliminary work around that. And secondly, if Q4 ends up being as strong as it seems like it’s going to be, are you guys optimistic that the US box office would grow year-over-year in 2013 or would it look more like 2011 when you kind of had a strong Avatar and film slate that was tough to comp against? Thanks.
Robert Copple: Tony, I think on box office we don’t end up getting protections. I think we’re excited about the film slate that we’ve seen as Tim mentioned and we think there’s some fantastic 3D films that will be out there that can drive box office on top of just overall names that are out there. And as we talked about earlier, a number of films even that were supposed to be this year were moved to next year and I think that helps as well. But not really giving guidance on how we think that matches up with this year but again we’re excited about the opportunities next year. With respect to advertising, the market is actually better developed in Latin America than what it is in the US. However, just as in the US screen advertising is still a small percent of the overall advertising market and there’s definitely opportunity to expand the presence. Once of the big things you haven’t had in Latin America was digital, and so just the conversion to digital and what that offers both in terms of quality and diversity – more opportunity to do local and regional and national; and then really as we develop our Flix concept and expand it throughout our circuits all across Latin America so that not only are we able to offer major advertisers the largest coverage in Brazil or separately Chile, now suddenly we can offer it across all of the southern cone as well as Latin America. And we think that has a lot of value in it as well. And so those are the things that are exciting us about Flix.
Tim Warner: And also one of the big changes in the model, to Robert’s point, is that the actual advertising market has always been fairly robust in Latin America, even more so than the US prior to the US developing NCM and companies like ScreenVision. But you know, with Flix we are taking our advertising in-house; and to Robert’s point, as it goes more digital the barrier to being on the screen will pretty much be eliminated. So we think there’s some real upside as we roll it out throughout Latin America.
Tony Wible – Janney Capital Markets: Will you guys be moving that platform to incorporate competitors’ screens to kind of improve reach or will that just stay inside the Cinemark footprint? And then do you have a dollar figure roughly speaking of what you think this would be in say five to ten years?
Robert Copple: As far as competitors we’re very open to that. We’re exploring that now actually, and we think ultimately the model that’s been used in the US where you look at this as an industry could be very beneficial to developing the overall potential of that market. Fortunately for Cinemark, we have such a large market share in many of these countries that again in Brazil we’re able to kind of kick it off by ourselves and have a very meaningful impact, but we still think consolidating the market with our peer group down there makes a lot of sense and so we’re trying to understand the best way to do that now. I don’t really have a dollar figure of where it could go. We definitely think there could be a lot of growth and we think it’s a long-term engine because again, this is something that’s going to take us a while to continue to develop just the market on a digital basis, to continue to develop what we have within Cinemark. If we take it and roll it to outside groups that’s a whole process in itself, and so a little bit to your point, this could well be a five- or ten-year process as you really develop it. The exciting part we’re seeing is just with the little bit that we’ve done we’re already seeing benefits in our numbers, and so we know that the potential is there as we create more expertise. But I don’t really have a number of how big it could be.
Tony Wible – Janney Capital Markets: Great, and congratulations on the great results.
Tim Warner: We appreciate it.
Operator: Your next question comes from the line of James Marsh with Piper Jaffray.
James Marsh – Piper Jaffray: Great, thanks. I just wanted to circle back on the CineMode discussion. Do you guys believe that cell phone annoyances are negatively impacting attendance for the industry or do you think it just lowers the quality of the experience? I’m just trying to get a sense, I mean are you getting more complaints today than you used to; and what was the top complaint that you used to get before the advent of smartphones?
Tim Warner: I think if you’ve gone to the movie theaters, whether it’s us or our competitors, you know, the industry has launched sort of a real competitive campaign to encourage people not to talk on their cell phones or not to text and that in the theater, while they’re in the theater; and if they need to talk or text to take it outside or to take it out of the auditorium. So it’s not so much a huge issue that’s impacting attendance today, but what CineMode is is what we feel is sort of the smart way to address the issue, so that you’re giving customers incentive to actually put their phone in CineMode which dims the lights and silences the phone, and then you reward them for doing that. That makes for a better customer experience but more importantly, what it does is it puts us in direct contact with that customer on their smartphone. So it allows us whether it’s our concession couponing program, whether it allows us to work with (inaudible) studios that we might give them coupons for digital downloads; and also it will help us identify what movies they like, what movies they don’t like. And so there’s a lot of information or additional customer benefits that we think our patrons will get because we’ll have this direct relationship with them. The other thing about CineMode is unlike some other value programs, or customer loyalty programs, it’s at no charge to the customer. In fact it’s a technology reward to the customer, and also they don’t have to carry around a card. It’s right on their phone and so it’s really using technology at a very high level to have that direct relationship with the customer.
James Marsh – Piper Jaffray: Okay, that’s interesting. And then just quickly on XD, does your early release window on Skyfall, does that contract with Sony limit you playing Twilight the following week in XD?
Tim Warner: No it does not. The XD format is totally different than the IMAX or the business model for the two are totally different. IMAX makes long-term commitments to the studio to do a film in IMAX but they also get paid for that, where the XD model is just to take what we feel is the biggest picture of that week and open it in our XD premium format.
James Marsh – Piper Jaffray: Okay, thanks very much.
Operator: Your next question comes from the line of Ben Mogil with Stifel Nicolaus.
Ben Mogil – Stifel Nicolaus: Hi, good morning and thanks for taking my question. I just wanted to make sure I got the numbers right: did you say at the beginning that you kind of figured that you were down on a box office per screen, because I know you obviously opened and closed screens during the quarter, at around -7.6% and you think the industry was around a -7.2% on the benchmark? Is that what you said?
Robert Copple: That’s right, Ben. I mean when we look at our numbers, we slightly underperformed. One of the things we tried to put it in light of is if you look at last year, we were up 390 bps and so it definitely is one of those that we had a heck of a hurdle compared to we think if you want to call it the industry or our peer group. If you look at what we’ve done since 2010, so we kind of combined last year’s over-performance with this year’s slight under, we meaningfully outperformed the industry for that period.
Ben Mogil – Stifel Nicolaus: When you look at this year, as you say you have underperformed a little bit this year – it’s partly I understand a comp issue. Is there anything else going on that you think is leading you to kind of revert back to the mean? Is it similar geographies that you’re overweight in are no longer sort of as overweight at the box office as they were a little while ago? Is it IMAX on the margin crimping a little bit because they’ve had not a great year but a decent year? I’m kind of curious what your thoughts are around sort of what’s happening with the domestic results compared to the benchmarks?
Robert Copple: Yeah, personally I feel like it has a lot more to do with the relative film product. I mean Dark Knight made up a significant percent of this quarter’s box office. It was a higher percentage of the top five or ten or total films than what we saw last year for the top films. And Dark Knight played well in our theaters but the history of that franchise is that we slightly underperform in it. We had a few more R films that don’t necessarily play in our markets as well, so and again, that’s going to vary by quarters. Some quarters we’ll have films that play better but this particular quarter we’re just facing product that plays slightly under what our norms are, and I really think that had more to do with it than anything. We’re not seeing any performance issues in our theaters. We look at our different DMAs and we think we’re doing well in those, but we can track films and we look at things like Ted or Dark Knight, those films – unfortunately they’re two different genres but they just don’t play quite as well to our audiences.
Tim Warner: And too, Robert made the point that we just had a sensational Q3 in 2011 and we outperformed that by 390 basis points. So we just had an incredibly high hurdle to overcome.
Ben Mogil – Stifel Nicolaus: Oh, for sure, that makes sense. And then I know it’s early days but with Warner now running AMC have you seen any changes in the way that AMC’s operating in some of the markets that you compete in, in the same zones, etc.?
Tim Warner: No, we have not.
Ben Mogil – Stifel Nicolaus: Okay, I think that’s it for me. Thanks again, guys.
Robert Copple: You bet, thanks Ben.
Operator: Your next question comes from the line of Matthew Harrigan with Wunderlich Securities.
Matthew Harrigan – Wunderlich Securities: Thank you. Are you getting occasional (inaudible) lead in with the local product, but it looks like the primacy of the US product is still pretty amazing – over 80% of the box office on Ice Age overseas, obviously the Skyfall numbers. But you’ve got such an amazing distribution network down there, is there something you can do to foster more local product or even advance some? The cultural and theater experience always seems to resonate a little better down there than it does here. I mean people may be here a little bit more jaded and sometimes product-sensitive. And then secondly, I know you and a few of your peers have had discussions with the studios on ultra-violate and some of the other digital marker initiatives, cloud initiatives. Can you talk to anything on that in terms of how you might fit in the ecosystem and kind of foster a win-win between you and the studios? Thank you.
Tim Warner: First off, I think your first question – internationally, in all the countries we’re in we work very, very closely with the local creative community. In fact, the fact that Cinemark has built a great modern footprint in a lot of these countries and you’ve seen the expansion of the theatrical platforms in these countries, has really renewed or refurbished their in-country ability to produce digital films on the theatrical screen. So we have a great relationship with the local creative community. Next, regarding the digital download question, and I’m sure you’ve been following this – FOX has had some success. They started with Prometheus and some of their other films to start to test the digital downloads, and you know, prior to going out on DVD and the results have been positive. Now, that to me has been a win-win for the industry. When you refer to [Jim Gianopolis’] remarks that they’re trying to do it within the theatrical window, which might be surprising to people because of things you read in the press but there’s a real general consensus of the value of the theatrical window. And so what they’re trying to do with the digital downloads is to put the digital download window between the theatrical window and the DVD window, not to encroach upon the theatrical window.
Matthew Harrigan – Wunderlich Securities: I guess that’s what I was really asking – is this a way that you can even bundle a cloud product with a ticket going into the theater, which would be a huge win-win for everyone involved? Have you looked at that? And secondly, I know you don’t see box office year-by-year but on that local product – a soccer movie, whatever thing in Latin America – do you think that over the next five to ten years you’re going to get a significantly higher secular growth rate in the local product than you will on the US-originated product?
Tim Warner: Well first, as to your one question on how we might work with the studios in that digital download format, of course one of our objectives behind CineMode again is to create that direct relationship with our customer. And this is just a theory as to how it could work, is that they come in and they see a film, and as a reward they might get a coupon that would give them some monies off on the digital download of that film when it becomes available for digital download. So we will have that direct ability to work with our customer, work with our vendors – that could be a huge win-win for both parties, and that is part of our thinking in CineMode. Regarding local product, from the time we have started building the platform in all these countries we have seen a reemerging of their local productions and the creative talent in these countries. Now, Argentina and Brazil and Mexico have sort of been the leaders in this area, but even countries like Chile or Peru or Colombia are starting to wrap up their production. And so it’s only logical that as you get a larger platform built out in these countries that there’s going to be a lot more opportunity for local production.
Matthew Harrigan – Wunderlich Securities: Thanks for your time. Congratulations on the quarter.
Tim Warner: Thank you.
Operator: Your final question comes from the line of Jim Goss with Barrington Research.
[Shawn Lay] – Barrington Research : Hi, [Shawn Lay] actually standing in for Jim Goss today; thanks for taking the question. First it’s just a maintenance issue: the other income line seems to have ticked up a bit higher than usual – you added about $9.5 million in the quarter. I was wondering if you could clarify if there’s anything unusual being captured there. And then secondly, I was wondering if you could provide just a background on the XD landscape internationally. We have seen some large screen competition develop in other markets like China and we were just wondering if you’ve seen any significant competition building there, and does an IMAX relationship become any more attractive there at all or is still XD the primary focus for now?
Tim Warner: I’ll take your last question and then Robert can comment on the first one. We are expanding our XD brand internationally and in Latin America, one of the main competitors is the [Filmopolis] Group out of Mexico and they have also developed their own large screen format. And they’ve expanded that brand also internally for their company. And so our intent is to continue to roll out our XD brand. It’s been very, very well received in all the international countries where we’ve launched it; also 3D is doing extremely well internationally. Domestically, our intent in 2013 is to hopefully launch another 25 XD formats and internationally 20 to 25, and so you can see by our commitment to build 45 to 50 new XD screens next year on a global basis means that we’re totally committed to our XD format.
Robert Copple: Shawn, I think your other question if I understood right is our other income line is kind of below the line item.
[Shawn Lay] – Barrington Research : Yes.
Robert Copple: That’s primarily a result of our investment in DCIP. It’s our equity pickup from them which in general has been more consistent. This quarter I think is probably more a result of Q3 of last year and if I recall, Q3 of last year we had a large loss; and I think it had more to do with some things they have to do within their company that related more to interest rate [damages]. And then it was pretty much flat, and then this quarter we’re kind of getting to the other side of that. Generally we’ve found that DCIP is reasonably consistent and I think this is just more of a flip kind of something that we saw last year, so I don’t know that you’d see these kinds of numbers on a regular basis.
[Shawn Lay] – Barrington Research : Okay, thank you very much.
Operator: And at this time there are no further questions. I’d like to turn the call back to the presenters for any closing remarks.
Tim Warner: Yes, well I’d like to thank you very much for joining us today. We look forward to speaking with you again probably in our Q4 2012 results. Thank you.